Operator: Good day, and thank you for standing by. Welcome to the Air Transport Services Group Third Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your first speaker today, Joe Payne, Chief Legal Officer. Please go ahead.
Joe Payne: Good morning, and welcome to our third quarter 2022 earnings conference call. We issued our earnings release yesterday after the market closed. It’s on our website, atsginc.com. Let me begin by advising you that during the course of this call, we will make projections and other forward-looking statements that involve risks and uncertainties. Our actual results and other future events may differ materially from those we describe here. These forward-looking statements are based on information, plans and estimates as of the date of this call. Air Transport Services Group undertakes no obligation to update any forward-looking statements to reflect changes in underlying assumptions, factors, new information or other changes. These factors include, but are not limited to, the extent to which changes in market conditions impact the number, timing and scheduled routes of aircraft deployments to new and existing customers; the cost and timing with respect to which we were able to purchase and modify aircraft to a cargo configuration, which may be impacted by global supply chain disruptions; our operating airline’s ability to maintain on-time service and control costs; our ability to remain in compliance with key agreements with customers, lenders and government agencies; the effects of persistent elevated rates of inflation and changes in general economic and/or industry-specific conditions, such as higher labor costs, increases in interest rates, an economic recession and downturns in customer business cycles; the impact arising from COVID-19 outbreaks, including the emergence of COVID-19 variants; mark-to-market changes on certain financial instruments and other factors as contained from time to time in our filings with the SEC, including the Form 10-Q we will file next week. We will also refer to non-GAAP financial measures from continuing operations, including adjusted earnings, adjusted earnings per share, adjusted pretax earnings, adjusted EBITDA and adjusted free cash flow. Management believes these metrics are useful to investors in assessing ATSG’s financial position and results. These non-GAAP measures are not meant to be a substitute for our GAAP financials. We advise you to refer to the reconciliations to GAAP measures, which are included in our earnings release and on our website. And now, I’ll turn the call over to Rich Corrado, our President and CEO, for his opening comments.
Rich Corrado: Thanks, Joe, and good morning, everyone. The next slide shows that the third quarter was another successful one for ATSG. CAM, our core aircraft leasing business turned in a record third quarter with a 30% gain in pretax earnings. That gain stems from the 15 new leases of Boeing 767-300 freighters we completed last year and the five others we leased through September this year. Our two cargo airlines are flying more hours and more aircraft. Since last year, our principal customers have been turning to us to fly freighters, not only leased to them by CAM, but also aircraft they obtained from other sources. We had 10 customer-provided freighters in our fleet in September and are adding three more in the fourth quarter. Our revenues grew 11% and we delivered $0.60 in adjusted earnings per share for the quarter and $1.75 per share through nine months. We advised you in February that we expected to deliver $2 per adjusted share for the year, so we're well ahead of that pace. We are also on track to meet or exceed our $640 million of adjusted EBITDA target for 2022. Quint is ready to review the details of our third quarter results. I'll be back to share more about our very bright long-term outlook after that. Quint?
Quint Turner: Thanks, Rich, and welcome to everyone on the call this morning. The next slide fills in the details of the third quarter operating highlights that Rich just noted. Overall, our year-over-year results for the third quarter were strong. Our consolidated revenues grew 11% to $517 million. Each of our principal businesses freighter, leasing and airline operations, plus our other activities group delivered good revenue growth. Our adjusted pretax earnings also rose by 11% to $67 million. Adjusted EPS increased $0.03 to $0.60 per share, $0.01 more than the second quarter and our adjusted EBITDA of $163 million beat the prior year quarter by $10 million. As Rich noted, 2021 was a record year for our 767-300 freighter deployments, which means that the returns from all those deployments have stoked CAM's growth throughout 2022 and helped support a 30% increase in its pretax profits in the third quarter. Pretax earnings for our ACMI Services segment were $25 million in the third quarter. That was down from the prior year period, but up $3 million sequentially. Third quarter 2021 results for ACMI Services included $30 million in pandemic-related government grants for Omni Air and in support of the withdrawal from Afghanistan. As we said last quarter, inflation is driving up our airline costs. Travel costs to position our flight crews, increased premium pay and crew training costs and contracted line maintenance are still impacting our bottom-line. We expect those cost pressures to persist, into 2023. The next slide shows that our $10 million growth in third quarter adjusted EBITDA raised our trailing 12-month's pace to $633 million, very close to our 2022 full year goal. We will achieve that goal of at least $640 million through a solid fourth quarter from our airlines, more contributions from combi operations and additional customer-provided cargo aircraft, plus three more newly converted 767 freighter leases. On the next slide, you'll see that we're still on a strong pace for passenger aircraft purchases and conversions. This year's capex plan still at $625 million includes $430 million in growth capex most of which will be paid for from our adjusted free cash flow. Our 21 total aircraft awaiting or in conversion at September 30 includes all we expect to deliver this year and most of those for delivery next year. Rich will update you on our order book and 2023 deployment outlook shortly. The next slide updates you on our adjusted free cash flow, the metric we began providing last year. Represented by the bottom portion of each bar, is our operating cash flow net of our sustaining capex shown on the top. Our adjusted free cash flow is $373 million on a trailing 12-months basis, driven by strong operating cash flow of $552 million. The next slide reflects the self-funding power of our business model to generate significant recurring cash flow to fund a market-driven fleet growth program. Returns from deploying newly converted freighters under long-term external leases, provides us with a substantial portion of the cash we need to meet all of the demand our conversion line capacity allows us to fulfill. Our overall debt-to-adjusted EBITDA leverage ratio as measured under our senior secured credit agreement remains at about two times. Speaking of our senior secured credit agreement, we recently amended and extended it through October of 2027. The changes also included an increase in our revolver credit capacity from $800 million to $1 billion with no change in our rate structure, plus more flexible terms for share repurchases. A hard limit of $100 million per year in repurchases was replaced with a new variable limit tied to our leverage ratios. The new limit is a full percentage point above our current ratio. We also noted on our August conference call, that restrictions on our ability to buy back shares under the CARES Act would expire in September, and that we would resume repurchases as part of our capital allocation strategy. Accordingly, we resumed repurchases in October under existing Board authority. During that month ATSG repurchased nearly 1.6 million shares or just over 2% of those issued and outstanding through a combination of open market and private transactions. We anticipate continuing to buy back shares along with funding the expansion of our fleet to return value to shareholders. With that summary of the quarter's operating and financial developments, I'll turn it back to Rich, for some comments on our business drivers and outlook. Rich? 
Rich Corrado: Thanks, Quint. Let me begin by expressing my thanks to everyone at ATSG, who contributed to our solid third quarter performance. We met our key objectives by focusing on delivering the superior service quality our customers expect from us. We also work with our suppliers to overcome challenges and global supply chain impacts. On the next slide, you can see that the tremendous achievements we recorded in 2021 including a record 15 external leases of 767-300 freighters are paying off in 2022. I noted at the beginning that CAM's continuing ability to meet that demand was the principal source of our strong results. CAM's pretax earnings are up 54% year-to-date. This year CAM's focus has shifted from the domestic market for our 767 freighters to demand from abroad. The majority of the 767 freighters released this year will go to non-US customers. Like our customers in the United States, customers in Asia, Europe and Canada are pushing ahead with their own express and cargo networks. The next slide shows that we are already acquiring Airbus passenger aircraft to convert and deploy in addition to Boeing 767s that remain the mainstay of our fleet. We owned seven narrow-body Airbus A321-200 aircraft at the end of Septembe,r and we'll acquire more in the fourth quarter. We'll purchase our first wide-body A330 aircraft in the fourth quarter. It's the first of 29 we expect to acquire, convert and lease starting in 2024. You have likely read recently about Amazon's plans to add A330 converted freighters to their network. Their decision validates what we have known for several years that twin-engine medium wide-body freighters will remain the ideal solution for time-definite, regional express networks and that the Boeing 767 and Airbus A330 will remain the leading candidates to fulfill those roles, which leaves us well positioned to continue our leadership position in this segment. As I said last time, you won't find any evidence of uncertainty among the names in our leased freighter order book. We already hold deposits or commitments from existing customers for more than 20 freighters we expect to deploy in 2023 including at least 14 767-300s and six A321s. At the start of the year, CAM held more than 80 passenger-to-freighter conversion slots for induction in 2022 through 2027. We have identified customers for more than 50 and no one has retracted an order. While demand remains strong, meeting that demand has challenges, we continue to work with all of our conversion suppliers at the highest levels on opportunities to improve conversion throughput. As the next slide shows, we expect 2022 to be another record-setting year for ATSG, with adjusted EPS of more than $2 per share and at least $640 million in adjusted EBITDA. We'll get there via unscheduled deployments of leased 767s, the October resumption of our full schedule of combi flying for the US military and a strong fourth quarter in both cargo and passenger flying. Quint mentioned that we resumed share repurchases in October for the first time since April 2018. It was a timing move as the stock market declined sharply creating opportunities to acquire shares at attractive prices. Our stock price remains a great value even at current prices. As I've said many times, our business model was built for resilience in the face of market uncertainty. Our long-term cash flows from aircraft leases and operating agreements with major organizations like Amazon, DHL and the Department of Defense will allow us to perform at superior levels even in challenging economic times. That concludes our prepared remarks. Quint and I along with Mike Berger, our Chief Commercial Officer are ready to answer questions. May we have the first question operator?
Operator: Thank you. [Operator Instructions] Our first question will come from Frank Galanti from Stifel. Your line is open. 
Frank Galanti: Yes. Great. Thanks for taking my questions. Congrats on a great quarter. I wanted to ask about the Amazon A330 orders. I'm not sure what you can talk about, but to the extent that you can. Can you, sort of, talk about if ATSG was competing for those contracts? Is that -- was that, sort of, expected long time coming, or can you just, sort of, talk around that deal from ATSG's perspective? 
Rich Corrado: Sure. Thanks, Frank. I'll start this answer and then I'll turn it over to Mike. First off, we've known about Amazon looking into the A330 for some time. It validates our decision to get into the 330 as well as the logical long-term medium wide-body airplane of choice. Obviously, the mainstay of our fleet is the 767 freighter, which we've got 42 on lease to Amazon right now. We're flying 49 of those for them by the end of the year. So, yes, we knew about it for some time. Historically, the way they did their network, they tend to select carriers that already have the aircraft on certificate which Hawaiian did already have the A330 on certificate. It takes an airline about 10 months to a year to put an aircraft on certificate and it also costs a lot of money somewhere between $6 million and $8 million to do that type of work. So that puts us at a disadvantage in bidding where we didn't have it on certificate. So that's kind of like in a nutshell what the view looks like. I'll turn it over to Mike, if he's got any comments. 
Mike Berger: Yes, I'll just reiterate. That is consistent with what we've seen in the past. Amazon tends to -- has chosen a provider that has the aircraft on our certificate. But as we've seen that doesn't mean in the future, we may operate the aircraft as well. We see Amazon historically look for multiple providers of aircraft as they develop their network so we stand ready to support Amazon as our largest customer and shareholder in the future. Just to emphasize a little further that the Amazon decision really does validate what we've known for some time that the 330 is the next aircraft that we want to get ourselves into. 767 feedstock becomes more difficult, the 330 is certainly going to be the choice of the integrators and the folks that are flying in the integrators' regional networks. We've already seen that with DHL. They're already flying the aircraft and they're also in our order book for the 330. So as we look forward to the 330, the 20-plus orders from commitments and deposits that we've seen really align strategically with what we're trying to do globally. All those orders will be for customers outside the US as we stand right now. So we really think it reinforces the fact that we made a great decision to get into the A330 aircraft going forward. 
Frank Galanti: That's super helpful. And actually just a quick follow-up on that. You mentioned not having STC was an issue potentially. Does ATSG have plans to get that? And sort of what's the time line around that? 
Rich Corrado: We're evaluating that right now in terms of we have three airlines which airline it would make sense to look at the 330. We've looked at it in the past obviously to see what the cost was and the time line to do it so it's still under review right now. The way we've architected our model we're a lease-first business so we look to lease the aircraft first, and flying for us is more like an asset-light value-added service that we offer to enhance the value of the lease that we offer to our customers. So if -- in looking at DHL or Amazon if they wanted to fly in the US as an example, that would certainly be a catalyst for us to move ahead more quickly with getting the aircraft on certificate. 
Frank Galanti: Okay, great. And then I wanted to ask about the share buybacks. It's great to see eligibility to do that and moving in size in October. I just wanted to ask around future expectations around that. Was that more of a one-time opportunistic purchase given the share price movements, or is that, I guess how should we frame in how much share buybacks should be occurring going forward?
Quint Turner: Hi, Frank it's Quint. As we've said in prior quarters, once CARES expires, we were looking forward to having share buyback as an ongoing tool to add value to the value that's coming through our growth investments for shareholders. And so I wouldn't view the October activity as a one-off. Again in terms of the volume of share buybacks, you may see some variance over time in that depending upon, because we want to be somewhat opportunistic about it. But it will consistently remain in our toolkit for providing value to shareholders. So we would anticipate maintaining that capability and utilizing it on a recurring basis.
Frank Galanti: Great. Okay. I really appreciate the color. Thanks very much.
Quint Turner: Thanks Frank.
Operator: Thank you. One moment for our next question please. Our next question will come from Christopher Stathoulopoulos from Susquehanna Financial Group. Your line is open.
Christopher Stathoulopoulos: Good morning, everyone. Rich, Quint good morning.
Quint Turner: Good morning Chris.
Christopher Stathoulopoulos: So let's see here. There's been a lot of debate as you're aware here that the freighter capacity if you will that's been underwritten over the last two or three years on this was done under the framework here of this parabolic growth in rates here. So just want to help, because this is a question I get a lot as it relates to lessors and I'd say lessor-operators as well. The conversations that you're having with your customers today, could you help us understand the mix of; one, existing; two, those that are new to dedicated airlift; and three, growth?
Rich Corrado: Sure. Thanks for the question Chris. A couple of things. One is if you look at the growth in the network, keep in mind that our assets are focused on express networks, so that's DHL, Amazon. We fly for UPS during peak. And then most, if not all of our lessors, lessees, I should say around the world that we lease to also fly in networks. For example, Raya out of Malaysia, who was just named the Southeast Asia E-Commerce Carrier of the Year. Raya flies for DHL. And we lease to Star as an example into Europe. They fly for UPS. So a lot of our lessees are also flying in these networks. The express network is powered by e-commerce and that's the growth engine for that business. Now you saw a spike in e-commerce during the pandemic that was more related to folks leveraging the Internet to get goods and products that they didn't -- maybe didn't feel safe going outside the home for. That's a whole host of folks that never would have bought online before and they're continuing to buy now. If you look at the statistics globally about e-commerce growth in several of the areas, it's in the 20%, 30% growth still. When we talk to our customers in the United States, you've seen a slowdown in growth in those areas, but there's still growth. When we look at -- we had a conversation with DHL a few weeks ago in their business in the US, which by the way we're adding four planes, four additional aircraft into that they provided to us. The last one goes in the fourth quarter here. They're still looking at rightsizing their network as a good example of why additional freighters are needed. So we're still bullish and all the customers that we have waiting for assets would take them as fast as we could get them to them. And so this e-commerce process phenomenon if you will remains. Now it's adjusting that you went from 2019 to 2022 it's about a 28% increase in express volume. Prior to that, it was in the 5% to 6% range. And according to Boeing, it will settle in around the 5% or 6% range going forward. So we're in an adjustment year, but folks are still looking at getting aircraft. The lead times for airplanes if you recall are very different from reactions to express growth. And one of the great things about this network situation is these carriers have to service the geographies every day. They have time-definite and day-definite commitments. And so when you look at a network such as DHLs or Amazons those networks have to go to Boise Billings Butte Buffalo Boston and Baltimore every day whether the plane is full or whether it's not. So that's what's bolstering our growth and we're pretty bullish on it. I don't know Mike if you have more to add.
Mike Berger: I'll just add a couple of things. It's a really -- it's an important point I'm glad Rich emphasized it that the major integrators are out there selling time ethnic guaranteed products. He talked about it from a U.S. domestic perspective. But the other -- some other components of it that I'd like to speak to in regards to the global connectivity on why the freighter market along with the growth which I'll emphasize is still very much positive. And the engine of e-commerce is very much there is, is that these major integrators the DHL, specifically the UPSs and the FedExes of the world, they're huge, huge buyers of daily freight of wide-body aircraft and they connect globally through the major hubs. Hong Kong, Frankfurt, Schiphol, Heathrow for example. And when you think about the scheduling of wide-bodies, they have not come back to pre-pandemic levels. And the labor issues within these airports, the connectivities and the throughput is still an enormous, enormous issue which gets written about and talked about all the time. So that's a component that people tend not to think about which is not going to go away for any time so just really help support the growth and the stability in the future of the freighter market. So there's other aspects out there. And the e-commerce projections $5 trillion of goods, 80% of cross-border e-commerce sales are transported by air, right? 131 billion parcels are delivered every year from e-commerce. That's expected to double by 2026. So when I talk about the engine is still there, it's still there and it's going to fuel our market for some time.
Rich Corrado: Chris, let me add one -- this is Rich again. Let me add one more thing. There are new markets developing in addition to e-commerce. One of those we've been able to capture a trend on has been passenger carriers that were almost 100% passenger carrier prior to the pandemic looking at coming out of the pandemic needing main deck freighters to supplement what they do to never get into the situation again that they were in. Air Canada, we did two aircraft purchase. We purchased them the aircraft from Air Canada; we converted them and then we leased them back to Air Canada. We're in the process of doing a similar agreement with Vietnam Airlines that we're purchasing two A321 freighters from them converting them and leasing them back to them. So that's a new trend that we're seeing. Additionally, there's been a lot in the market about ocean container transporters that are getting into the air business. And there's speculation on why they're doing this to supplement their service. They've got the advantage of having a captive network of customers and they can speed up certain pieces of their supply chain and improve some of the bottlenecks that they have today. We have in our order book four airplanes going to Maersk. They've got -- rebranded their Star Air out of Denmark that flies for UPS and they'll be flying airplanes in -- for Maersk reasons supplementing their solutions as they go forward to try to help with some of the supply chain issues going on around the globe.
Christopher Stathoulopoulos: Okay. Thank you. And then Rich, if you could give us an update on the pilot contract with ATI, so ALPA put out a press release, I think it was last week. It looks like a proposal was submitted to the union that wasn't accepted. Where are we? What are the next steps here? And then if you could talk about your hiring plans for pilots next year and any – are you seeing anything outside with respect to turnover for attrition? Thank you.
Rich Corrado: Yeah. Thanks for the question, Chris, giving us the opportunity to clarify that. So the ATI is in its second year of Section 6 bargaining with ALPA to advance a new contract. We – through the first two years we got a proposal from the union – I should say ATI got a proposal from the union probably a few weeks before we submitted ours. And we're far apart, but these negotiations tend to go on for several years. We're engaged with the union a couple of times a month at least for several days, and talks that they made a lot of progress on non-economic areas. And so we're continuing to work with the union and work through the negotiation to try to get to a solution. As it relates to hiring plans we're not immune to what's going on in all of the aviation industry, which is shortage of pilots and pilot attrition as other airlines get innovative in the way that they approach hiring and some of the things that, they're doing. And we have done some innovative things in terms of trying to attract pilots. So our attrition is up at all three of our airlines this year. But we planned for it, and we've adjusted to it, and we've adjusted our hiring and training classes. And, we've been able to stay ahead of it, and continue to lead the pack in terms of the service that we offer to our customers. We're in a service business and we realize that. And when we are servicing express business with those time-definite and day-definite commitments we spoke about earlier on-time service is critical, and our airlines have done a fantastic job throughout this year. So we're staying ahead of it. It's something that we're dealing with. It is raising cost, as we noted in the press release in terms of training and in terms of bonus pay, we may have to pay in terms of getting crews to substitute in for training pilots. But it's something we're managing just like every other airline is managing. And going forward, we'll continue to make sure that we've got enough crews to make sure that we meet our commitments to our customers.
Chris Stathoulopoulos: Okay. If I could just squeeze in one more. Quint, it's been a while since I've looked at your network in any level of detail here. But your competitor Atlas yesterday, it looks like volumes were significantly impacted in the third quarter due to COVID-19 sick-outs. And I didn't see any of that in your release. Any impact from sick-outs in the quarter or and again, I haven't looked at your network for some time so I don't know how much flying is doing down there in Florida? Thank you.
Rich Corrado: Yeah. This is Rich, Chris. So, a couple of things. One is we don't compete with Atlas in the vast majority of what we do. And the places that they're flying and some of the concerns that they're having are not areas that we fly into. So we're – most of our flying is domestic US, Omni flies almost all international passenger and ATI of course flies for combis for the military that are international, but most of the flying is domestic. We've had – as I said before, we've had some pilot attrition. We've had some pilot sick calls, but nothing that's unusual. And we've been able to manage it. And like I said, we're pretty proud of the service that we've been able to offer. We got – Amazon had that accelerated PEAS program that kind of was like a second Prime Week in October, and they gave us a very solid feedback on how well we adapted and were able to service them. So like I said, we haven't had the same level of concerns and we're managing through the pilot situation. And we're able to maintain service quality that's required by our customers.
Quint Turner: And Chris, just to sort of tag on to that, again, we talked about differences between our business model and Atlas in the past. And I think again, where we came out this quarter is another good illustration of it. But you've heard us talk about the order pipeline for our midsized freighters and the fact that we haven't had really any issues with customers pulling back from that strong pipeline that extends out, really, a couple of years. And it's why we think that -- and you saw this quarter, our revenue up 11%, the consistently strong performance that we've had throughout. Our business model is, and should be, right, less volatile and I think it's proving that again this quarter. It's why we think that combined with the strong demand that's out there for our -- what we specialize in these midsized freighters and the services we tag on to them, is why we think our stock is a great investment. And that's why you've seen us come out aggressively for share repurchase and anticipate continuing to use that. Obviously, you evaluate that against a capital allocation strategy that may include other alternatives, right, from time to time. So you can modulate that, depending upon your opportunity set. But we think, we're fortunate in this environment and really, it differentiates us from so much of what you're hearing right now about the economy. I know, everybody's tuning in wanting to hear about, is there going to be this big falloff in demand and so forth? And we just -- we really haven't been able to talk about it, because we have not seen it in our case.
Christopher Stathoulopoulos: Okay. Thank you.
Operator: Thank you. One moment for our next question, please. And our next question will come from Thomas Fitzgerald from Cowen and Company. Your line is open.
Thomas Fitzgerald: Hi. Thanks so much for the time and congrats on the great quarter. Just a quick one for me. I was wondering if you would mind providing a little more color on the strength in your engine leasing business in CAM. I know, there's a lot of supply chain issues in the -- within aircraft engine so I'd just appreciate your color there and your outlook. Thanks very much.
Rich Corrado: Yes, I'll take that, Tom. Thanks for the question. Yes, so we're unique in what we do from a customer service standpoint. When we lease an airplane to a customer, they have the option to take a power-by-the-cycle program that we have with both our 767-200s and 767-300s. And so, in doing that, we also spare the lease fleet that we have, meaning we have spare engines. So at any one point in time we probably have anywhere from nine to 12 engines out on lease. And so, that's a way that we can add value to our customers, so that they know that they don't have to -- with a smaller fleet to some of the smaller airlines we lease to, they don't have to worry about going out and getting one or two spare engines that they have to make sure their fleet's maintained. And so, those -- through those agreements it's also a lot more stable paying power-by-the-cycle rather than having to accumulate reserves and have enough money when you have to do a $4 million to $6 million engine overhaul. So the leasing has been good, it's been a great value-added differentiator as a lessor and it's enabled us to also get more return on the investment from those engines that we have.
Operator: Pardon me, Mr. Fitzgerald, please make sure your line is now on mute.
Thomas Fitzgerald: Thanks. That’s very helpful. Thanks so much. That’s it for me.
Rich Corrado: Thanks. Tom.
Operator: Thank you. [Operator Instructions] And our next question will come from Michael Ciarmoli from Truist Securities. Your line is open.
Michael Ciarmoli: Hey, good morning, guys. Thanks for taking the questions. Nice results here. I guess, maybe Rich, just the one follow-up here. You guys are a leasing company, but clearly you've got some of these airline operating risks. As we think about, sort of, this ALPA contract and think about labor costs and wages, they put out something last week, I guess, it was, citing their concerns about ATI. But, I guess, I'm just trying to think of, as you go through the contract process, as we look at pilot shortages, how should we think about overall costs across some of your airlines and as that relates to margins? I mean, is that something we should be contemplating for next year or even 2024? 
Rich Corrado: It's tough to predict when the union negotiations will result in a new CBA. And so as we look at -- I think your question was about down line operating risk. We look at the current competitiveness of our compensation program as it relates to attracting and keeping pilots. And that as it sits today we've been able to manage through. I'm not saying -- as I said we're the same as -- we're in the same pot as every other airline. And so there is attrition. And we are managing it. And it is resulting in an increase in cost. And you can see that in our current operating results. But as we go forward, we're going to look to get the most competitive contract that we can, so that we can continue to attract the best professional pilots that are going to allow us to offer the services that we offer. But also, we need to make sure that we're competitive on the other side of the ledger to be able to win business. And so balancing those two is something that we've been able to do in the past. And we believe, that we'll be able to do it in the future, to fairly compensate our crews, have the type of program and work rules that will attract the key pilots going forward, and allow us to compete for business, and win business, and offer the best service that we can.
Michael Ciarmoli: Got it got it. That's helpful. And then just back to the Amazon kind of dynamic here. I guess with their deal here with Hawaiian they want to eventually move away from 767s. How do you guys think about that with your current fleet of 767s? Do you have an opportunity to -- again, I think it was brought up earlier around whether or not you get an STC, but do you have an opportunity to provide A330s into them, or should we be thinking about 767s with Amazon's coming off lease? Is there a risk there? I guess just trying to figure out, how this kind of relationship with Hawaiian shakes out over time here.
Rich Corrado: Yeah. Well, first off, Amazon in our discussions is not moving away from 767s. In fact, …
Michael Ciarmoli: Okay.
Rich Corrado: …we're already getting -- we've already been awarded another 767 from Amazon for 2023 …
Michael Ciarmoli: Okay.
Rich Corrado: …and there are more coming available. So the issue Michael with the 767 is -- doesn't have anything to do with the competitiveness of the airframe. It has to do with, the fact that going forward in the future there's less feedstock available. And so if you're looking to plan your fleet in the future it makes sense to look to the next-generation airframe to augment your fleet. And I think that's what Amazon has done. So we're still very bullish on the 767. We've got, I believe, 30 slots plus options. We've got, 16 coming -- at least 16 coming next year -- I'm sorry 14 coming next year, and then, -- and more in the year after that. And so it's still a solid airframe. Now, all that said, the same reason we got into the A330, we believe they get into the A330 which is it's the logical high-end result. There's 1,500 of them passenger units out there for conversion. So where there's probably a couple of hundred left of 767-300s. So plenty left, but you also have to be in a market where the passenger carrier wants to re-lease that airplane. We've been very astute and very good at finding feedstock, because this is our business. We don't dabble. We don't go in and out of the feedstock market. We're in there constantly looking to get the best go-forward airplane that's going to make a good freighter. So we – both airframes are important to the ATSG future and I think Amazon has made a wise decision to augment their fleet with a different aircraft type.
Michael Ciarmoli: Got it, got it. And just last one for me. Maybe Quint, you might not answer this but any early read on 2023 EBITDA or CapEx? 
Quint Turner: Thanks, Michael. Typically of course, we guide on that in the next earnings call but – and we're still of course working through more detail our own projections. But if you think about kind of where we're finishing out 2022, there's a lot of embedded growth and I'm now talking about EBITDA in the assets that have gone online in 2022 including some that are coming on in the fourth quarter. So if you think about sort of the exit run rate we're at here as we leave 2022 and you build you get a full year's contribution from the eight newly-converted freighters that we'll have placed in service this year. And as Rich said, you've got 14, 767s next year. It will sort of be spaced out through the year, right? And then you've got we'd say at least half a dozen 321s. That's a nice starting point to think about growth in EBITDA. And in terms of CapEx, we produced eight aircraft this year newly-converted freighters. Next year it's more like 20. So that piece of our CapEx naturally is going to be is higher because of the production schedule and just the timing of these assets as they move through. And we will be acquiring some feedstock for these new platforms, the A330 in particular, next year. So we'll be buying some passenger feedstock to fund the conversions that will begin producing A330s in 2024. And so we do expect CapEx to again be reflective of a company that's in a growth mode next year. I anticipate elevated CapEx compared to where we're coming out this year – next year in total because of that. But of course, we have orders and returns that we project on those investments are really strong and we have a balance sheet that's lightly levered. So we're in great position to continue to add value through our growth investments and as we talked through earlier supplementing that with share repurchase.
Michael Ciarmoli: Got it. Perfect. Thanks a lot, guys. Appreciate it.
Quint Turner: See you, Mike.
Operator: Thank you. One moment for our next question. And our next question will come from Anthony Berni from Susquehanna Financial [ph] Group. Your line is open.
Unidentified Analyst: Hi, good morning. Thank you for taking my question. I just had a quick question on 4Q EPS. You've noted your guidance from I believe February hasn't changed but your performance year-to-date is tracking significantly above that. And if I look historically, it seems like from 3Q to 4Q your EPS tends to increase pre-pandemic. But in the past two years it's kind of dipped a little bit. Any color you can give on the near-term in terms of earnings would be great. Thank you.
Quint Turner: Thanks. Thanks for the question. I think that when you think about EPS, you're correct that this year we've tracked ahead of our initial guidance. We had talked about adjusted EPS at $2 and certainly, we're clearly on pace to beat that. I think next -- in terms of the fourth quarter, you've got higher interest expense will be a factor with what the Fed is doing. So you've got to figure that in as well. So, I believe directionally, you may see it slightly below where we wound up this quarter for the EPS. But I think very similar numbers obviously with our guidance to what we did from an adjusted EBITDA basis for the fourth quarter and again, very strong cash flows. But interest expense is a little bit of a headwind for us certainly in Q4 compared to third quarter.
Unidentified Analyst: Great. Thank you very much.
Operator: Thank you. One moment for our next question, please. Our next question comes from Christopher Stathoulopoulos from Susquehanna Financial Group. Your line is open.
Christopher Stathoulopoulos: Hey. Sorry to double up here. Just quick. So, a lot of moving pieces here with your order book with the deliveries, and I don't think you have any significant planned retirements here. But is there any reason why when we look out to mid-decade that you shouldn't have a fleet of around something between 160 to 170 aircraft?
Quint Turner: Well, we talked about what 20 and you're talking about it in service. And of course, our customers are likely to give us aircraft to operate, as Rich alluded to earlier. So it depends on what you're talking about operating aircraft or owned CAM aircraft, I guess. But -- and the next couple of years are going to be continued to. And Mike, you can jump in here but...
Mike Berger: I mean just -- there's been a lot spoken about obviously, the balance of 2022 Rich and Quint have provided color around 2023 with at least 14 767s and six on the 321 side. As we move into 2024, on the 767 side we still anticipate double-digits in regards to minimally 767 deliveries in a double-digit range. We'll start delivering the A330s in 2024. At this point, we're anticipating somewhere in the four range as well as continuing on the A321 side. So, your numbers as you look forward to mid-century, you get to feel that we have no intention of not being the world's largest lessor of cargo freighters in the world as we move forward here.
Christopher Stathoulopoulos: Okay. Thank you.
Operator: Thank you. One moment for our next question, please. And our next question will come from Scott Cavanagh from APG Asset Management. Your line is open.
Scott Cavanagh: Good morning, guys. Great quarter. Just given your commentary on the shareholder returns and the balance sheet being lowly levered and your commitment to grow with free cash flow, how are you thinking about targeted leverage at this point? And have you given any more thought about trying to push for the investment-grade rating?
Quint Turner: Thanks for your question. Yes and we've answered, I think, on maybe some earlier quarters. On the investment-grade side, typically, you have to make some affirmations about staying below certain leverage ranges. And we haven't - - to-date we haven't felt that was the right -- necessarily the right place to be. We're just below that currently just below investment-grade, because we wanted the flexibility to invest and we felt like the opportunities were really strong for returns for the shareholders. And we've done that a few times with M&A and so forth. So that hasn't been necessarily a near-term goal to be investment grade for us. And I do think that because we've managed our company pretty conservatively in terms of our balance sheet and the cash flows that we produce has enabled us to keep a really -- a lot of liquidity there with low leverage, we are well positioned if we believe that the returns are there to invest either in share repurchase or the continued growth expansion that Mike has played out to add lift, because we believe that that's going to help shareholder returns and be a smart play. So, we would be comfortable operating at a higher leverage than we are now and that wouldn't be a problem. Certainly, the cost a bit has gone up some right? We're not thrilled about that, but that is the reality. And -- but even given that we believe that we've got dry powder to invest when returns are strong. 
Scott Cavanagh : Thank you very much. Great quarter. 
Quint Turner : Thank you.
Operator: Thank you. And that does conclude our question-and-answer session for today's conference. I'd now like to turn the conference back over to Rich Corrado for any closing remarks. 
End of Q&A:
Rich Corrado : Thank you operator. Since I first shared the three principal sources of our adjusted EBITDA on our first quarter call in May, I've gotten a lot of positive feedback about how useful it is to explain why our business model is more resilient to economic cycles than others in our space. It's the idea that most of our annual EBITDA comes from three sources. In descending order, they are long-term dry leases; long-term CMI agreements with Amazon and DHL; and Omni's passenger flying for the Department of Defense and other federal agencies. Those pillars are solid today mainly because none of them depends directly on how much or how many items our customers ask us to carry and because fuel costs are covered by the customer either directly or via reimbursement. That's a value proposition few others can claim and it's the message we want to leave with you today. Predictable long-term cash flow really shines at times like this. We're generating it faster than ever this year and can point directly to our sources for it in the future. Thank you for your interest in ATSG. 
Operator: Thank you. This concludes today's conference call. Thank you for your participation. You may now disconnect. Everyone, have a wonderful day.